Operator: Good afternoon, ladies and gentlemen. Welcome to the Ramsdens Holdings PLC annual results presentation. [Operator Instructions] The company may not be in a position to answer every question received during the meeting itself, although the company can review questions submitted today and publish responses where it's appropriate to do so. Before we begin, we'd like to submit the following poll. I'm sure the company would be most grateful for your participation. I'd now like to hand over to the management team today. Peter, Martin, good afternoon.
Peter Kenyon: Thanks, Mark. Well, welcome, everybody. Let's say, hopefully, we have as many questions as normal. We're quite happy to answer them as we always have been. The picture on the front, that's our Burton store that was opened about 12 months ago. Usual disclaimer. Contents page with a typical jewelry window there, segmenting the different jewelry we have on offer, new and secondhand. So who we are. The key thing, bottom right-hand corner, we're diversified. Four income streams, it's a pretty even pie chart. There's obviously going to be swings from year-to-year. You can see the numbers there ranging from 21% to 29% of gross profit. A map of where we are in the U.K. We're still a very predominantly Northern business. We are headquartered on Teesside. We have a processing center in Middlesbrough and, if you like, an office in Stockton. We have dedicated websites for each service. You can see some of the Trustpilot responses below. And we'll talk about, if you like, the 4P services, how they work, how we make our money as we go through this presentation. But I think a lot of you are probably familiar with the business. The highlights. So obviously, record turnover, over GBP 100 million for the first time. Record profit, GBP 16.2 million, which is 43% up on last year's GBP 11.4 million. Some of that is gold enabled, and we'll go back through that one. But it's enabled us to put the dividend up, which just so happens to be 43% up to in its totality. We've called some of that out as a special dividend. Again, we'll explain why we've done that. Those results were, if you like, slightly ahead of market expectations. Some operational highlights. I'll come back to the website. Two new stores, we'll talk about new store opening programs. Launched a new in-house international money transfer service. We have been doing it for about 7 years, but we now do it on our own. And 40,000 currency cards are now in issue. In terms of the outlook, we've had a strong start in Q1. That's in the RNS. You would have seen that. We've also said we're very happy to say we will exceed GBP 18 million this year in PBT. And from yesterday, you can now see Cavendish's research, our new NOMAD and broker, on our ramsdensplc.com.com website. Our plan is to open 8 to 12 stores in this financial year, and I'll come back into that, but we are on track to do so. We believe underlyingly all of our core income streams are making progress. We're in a really good position. And we've got an established floor strategy which, if you've heard this before, it's not going to be too much different. So top 2 graphs show really our record since coming to AIM. Both are very positive. We've always talked about a staircase in profit before tax growth. It's obviously shot up in FY '25, aided by the gold price increases, and again, I say I will explain that. The dividend growth, again, incremental growth. In FY '25, there's a special interim in yellow and a special dividend in blue that's topping that up a little bit as well. Martin will cover the balance sheet in detail, but net assets, GBP 62.9 million and a very good class of net assets, too. Net cash on the balance sheet, and we're generating a 20% return on equity for FY '25. Again, our diversified income streams are there just, if you like, to show. One of our strengths, and thinking about our strengths, the strong foundations that we have. Financials, I'll slightly gloss over. [ I'll talk to those ]. We'll go through them in detail. I have 4 IT programmers. Our sales ledger, CRM system, cashbook is all ours. It's a bespoke system. It's perfect for our needs. We think it's market leading. Staff who use it think it's intuitive. And we can develop that ourselves. It's bought and paid for, expensed as we go along with the salaries of the 4 developers. And that's enabled us to develop the websites, enabled us to launch the IMT service which, again, all our software is all in-house. We have a strong consumer brand. Customers are kind in their Trustpilot feedback. Trusted high street name, which is a big differentiator when we get into currency cards and getting into international payments because there are 170 stores that you can walk into and ask a question, which is not the same with some of our competitors. Years of advertising, TV, sports sponsorship have helped develop that brand. And we think we've got a great culture in the business. We're AIM listed. We've got our strong governance. We're also FCA-authorized. We've had that for years. So we've got good governance, a strong ethos, which we'll bring out in the pawnbroking to do the right thing. Low staff turnover for a retailer. We're about 20-point-something percent. That's lower than typical retail, which is 50% to 51%. And if you go down the country into the South, it's probably 50% to 100% turnover a year. So we want to keep our staff happy. We pay them real living wages out of minimum pay. And we invest in our people because their efforts are the people who make the difference and generate the results for the business and the shareholders. So growth strategy. The pictures might have changed, but the strategy hasn't. So driving growth from our core estate and growing the online presence. So growth from the core estate. Established stores, in my opinion, all have an opportunity to get better, whether that's more FX, more retail, buying more gold or growing our loan book. I'm not worried whether they -- if they're 2 years old, they have definitely got opportunities to mature and grow. If they're 20 years old, they have still got opportunity to grow. I had a store that was in my is it worth it category. I've changed the manager in the last 6 months, and that store has had an immediate turnaround. So every store in our estate has the ability to improve. The website side of things, we had a legacy website called Ramsdens for Cash, We still have it for its domain authority. But we now have 4 separate websites for our 4P income stream. So why have we done that? Well, our pawnbroking and our gold buying website, if you like, from a business development, are to drive customers to come into stores. So people come to the site. We see that they look up branch locator. And then hopefully, they're then following on in store to do a pawnbroking loan or to sell their gold. Our pawnbroking website also facilitates the customer repaying their loans early if they wish to do so. Moving on to foreign currency website. Click and collect, home delivery, you can top up your card and you can ask about and make payment on an international payment should you wish to do so. And jewelry retailing, it's probably the older platform. It's about 4 years old on that platform. It's currently getting re-platformed as we speak. Hopefully, we'll launch this month. And the reason for that and the reason that we're doing it is to aid customers searching the product that they may wish to buy. It's a bit clunky in the current way. Hopefully, the new version will be more streamlined, more effective and lead to more sales. It will also help the branches because, as I said previously, our website is a catalog of stock across the whole of the estate that our stores can tap into. So continuous improvement, absolutely what we're about. And as said, immature stores will continue to grow. We do look at relocations if it's appropriate. So there will be a couple this year. On the right-hand side, this is about -- it's outside of the existing estate. So more stores, and I'll come back to that one, or something will crop up. So Gemini, pawnbrokers and jewelers on the Isle of Sheppey. Tony wanted to retire, 71 years old. It's a good acquisition for us. We're very happy to buy that, look after his staff and take the business forward. In terms of the store estate, what we have and what we used get questions on is our model. So that's where we're at. And 2 stores opened in the last -- or in FY '25 in Grantham and Burton. We actually closed our Teesside airport kiosk store and we merged 2 stores in the center of Glasgow. So we stayed, if you like, neutral: 168 stores and the franchised store. So why did we take, if you like, our foot off the gas in terms of expanding the store estate over the last, like, 12 months or in that financial year when we'd average about 7.5 stores for the 2 prior years? Well, there's a change of government. There was a November '24 budget and we had no idea what they would do. Having had the budget and they significantly changed the rules of the game, if you like, with the increases into employers national insurance by both lowering the threshold and increasing the rates, we thought there might be a bit of a high street blood bath. That's actually happened but later than I thought. So if you think about the last 3, 4 months, you've got Claire's, Poundland, works have paused. River Island wants to close a few. It's been in the press. There have been several high street closures. Hospitality trade, a big impact into them. So we took a cautious approach. And in the last 12 months, we revisited all the stores that we've opened over the last 5 years. We know we have a really, really strong model for the high street supported by our websites. So we're happy to grow again. And we've said that we will grow 8 to 12 stores in this financial year and beyond. We've already opened in Wakefield. I've got 4 stores that will open prior to, if you like, end of February, first week in March. And we're in a good place to deliver 8 to 12 new stores in this financial year. We've got a really good strong pipeline of good deals of stores that are in the right locations, next to retailers that I think will be around the next 12 months. So quite discerning about what we do, and we have plenty of opportunities to grow the estate. In terms of the financials, about GBP 0.5 million for a new store. GBP 225,000 is probably sunken cost in the CapEx and making it securer and putting a safe in and all the things that we do in a new store. And about GBP 275,000 of working capital, which is jewelry or cash and growing the loan book. We shared with you an indicative model of a first year loss, which is really preopening expenses of rent while we're shop fitting, staff recruited before we're trading. And it's that type of operation that creates the loss. And then really, the first year is pretty neutral thereafter, and then we're building the income streams and profit in years 2, 3 and 4. That is the hurdle to open a store. If we don't believe we can't deliver a 20% return on capital from a new store, we don't open it. We'll look somewhere else. So that's our new stores and our strategy to grow the business. So I'll hand over to Martin, who will run through the financials in more detail.
Martin Clyburn: Thanks, Peter. As Peter said, it's been a very, very strong year, record revenue, over GBP 100 million for the first time. So revenue, up 22%. And gold buying and retail have been a big part of that step forward. We'll talk about the income streams individually shortly. Gross profit margins within each product is relatively consistent. So you can see that most of that 18% growth in gross profit is very similar to that top line growth in revenue. The number of stores in the year, as Peter said, there was 2 new stores and 1 merged and 1 closure. So there's a slight increase in admin costs from that extra 2 stores. We've had the maturity of all the stores opened in the prior year for the full year. And we've had the increase in people costs, which has been a significant part of the growth in admin expenses. So of the 12% increase in admin expenses, that's about GBP 4.5 million, it's about GBP 3.6 million, GBP 3.7 million of that is due to the people cost increasing. So that's more people in terms of the newer stores. There's more people in head office supporting the website growth and supporting the jewelry retail processing center, for instance. But it's also the cost increase of the real living wage and the increase in national insurance costs, which Peter mentioned. The finance costs in the business have reduced in the year by 20%. It's about half of the finance cost is rental interest cost. It's IFRS 16, and it's to do with the rents in the business rather than borrowing cost. But the borrowing cost has reduced in the year due to having less debt throughout the year and the lower base rate, and that's contributed about GBP 200,000 reduction in overall finance costs. It's a very low finance cost for the size of the business, and we use that RCF that we have very efficiently to borrow money through the summer to effectively fund the extra FX that goes into the tills as the volumes increase with travel. So profit before tax is up 43% at GBP 16.2 million. The tax rate is very similar. GBP 4.3 million in tax in the year, very consistent with the profitability. And profit after tax, GBP 11.9 million, which is 37p in terms of basic EPS. So we just touch on each individual segments separately to give a bit more color in terms of what's happening and the dynamics within them. So purchase of precious metals, predominantly gold buying, what you can see is revenue is up 44%. So the volume of gold we've purchased in the year is up around 14%. So a lot of this growth has come through the higher gold price. So we think about the growth in volume, the 14%, so some of that actually has come in H2. And we would say that's definitely being contributed through the website, So we launched a brand-new gold buying website in February 2025, and we've been working to promote that especially into the second half of the year. We've seen a lot of traffic to that website and a lot of traffic going on to the branch locator pages. And therefore, we know people have used that website to then go into store and sell us gold. And therefore, the volume increase, some of that is driven by that activity. It's not all driven by gold price increase. The gold price awareness definitely helps build customer volume. But actually the price itself and it's the fact that people are reminding you in the press that the price is high, the price is high and people are nudged to sell more of the gold. Very few people actually understand the absolute gold price in terms of that driving them to take that step. The gross profit, 52% up. And you can see here the gold price in terms of 9-carat gold. We've set out just how much this has moved in the last year. So in FY '24, the average price was GBP 21. In the last year in '25, that price has moved to GBP 28. That's a 34% increase. And as we sit here today, it's moved significantly higher again. So we've said in the RNS that Q1, the gold buying profit for Q1 has increased a further 50% for that quarter. Gold price today is over GBP 40 a gram in 9-carat terms. So we're very cautious when we look forward in terms of what that gold price can be. So we're obviously not banking on GBP 40 current gold price into the future forever. But certainly, as the gold price is higher, the amount of profit you make per transaction is higher. And that is what's falling through into FY '25 and also into Q1 of the new financial year. So on to retail. So jewelry retail has been a real success. We've seen 20% increase here in revenue as well. This is actually the headwind of the gold price. The gold price means the input price of jewelry has increased, and it's increased substantially throughout the year. What we've been able to do is actually manage our pricing to the customer to maintain our margin. So actually you can see here the gross margin overall has been very consistent. It's 37% across the mix of our retail. And we've been able to pass that on and still see growth, very good growth in our overall retail segment. The graph in the bottom left just shows where we've been really with retail on that journey. In the last 4 years, we've more doubled our retail. There's a lot of sort of self-help in this income stream. We've put more stock in. We've improved the window displays. You can see a picture on the right there. It's very modular in design. Now we can present the windows in a much more structured way and a very consistent way through the network. So we've put more stock in during the year, GBP 8 million investment in stock. And some of that is the cost of the stock is higher, and some of that is obviously more stock and more range to the stores as well. So a very, very strong performance in an environment wherein discretionary spend has been probably a tough year for a lot of retailers. We're very, very happy with our progress in jewelry retail. The segment at the bottom just shows how the split of the categories sit within retail. So preowned jewelry is about 38%. That's performed exceptionally well in the last 12 months. So the growth in preowned jewelry is actually 35% in revenue terms. So we've seen a very, very strong step forward in that as people look for value when the overall pricing has increased. And about half of that growth is in pricing and half of it is in volume as well, so of that 35%. It's not all gold price driven. Some of that is volume driven as well. Watch pricing is obviously not affected by the gold price, and we've still seen a 13% increase in our premium watch sales. And our new jewelry, which is only up 10%, it's probably all in pricing and very little volume difference in the last 12 months. Online is up 14%. So again, strong retail growth online. As we still develop that website further, we still think there's a big opportunity in retail as we move forward. On to pawnbroking. So our pawnbroking loan book in the year is up 7%. A lot of that growth came in H2, came in the second half of the year. And again, we've launched a website. It was launched in November. We actually started promoting it more like February once we got our existing customers who use the website to pay for their existing loans. Once we made sure that worked and we've got that comfort with how that new website worked, we started then to try and promote it more widely. Again, we see good customer traffic to the website. We see a lot of people using the branch locator pages. We do get inquiries about lending direct through the website. But a lot of people, again, are using the website as a signpost to go into a store. And we've seen the lending pick up in H2. And again, we've seen in Q1 significant growth again in the loan book. So the loan book at the year-end is GBP 11.4 million. As we said in the RNS, the loan book at the end of December is GBP 12.8 million. So it's a step forward again into Q1 of the new year. We are lending slightly more to a customer, but we're not lending anywhere near the increase in the gold price. The gold price, as we've just seen, is significantly higher than it was. It's up probably 50% over the last year. And we've lent probably 10% more on average to our customers on a pure gold basis. So LTV, our loan to value, has been very, very conservative and it's a lot lower than it would be in long tun averages. So there's an opportunity if the gold price stays high to lend more to our customers. And we'd see that continued growth, we think, into the next 12 months as the gold price, if it stays higher than it's been for the last 12 months, we can lend more across that. We've actually seen repayments improve on pawnbroking. So our repayment levels for customers, despite maybe a cost of living struggle, people have typically paid us back a bit quicker and paid us back slightly more than historic norms, which has been partly why the yield in the loan book is slightly higher than it was a year ago. We've worked hard with older loans, people who have lent for more than the initial term of 6 months. Anyone who's lent for more than 12 months, we actually offer a reduced interest rate, and we have got more emphasis in our conversations and help with those customers to actually pay down more of their capital. And we've seen aged lending actually reduce, which is why that also helps the yield on the loan book. It actually takes away some of the loan book growth in the short term, but actually will give us strong customer outcomes in the long term and keep those customers into the future. If they get their goods back quicker, they can borrow again in the future. So pawnbroking is in a very, very good place. We've seen good incremental growth. We've not followed the gold price up and lent significantly more than we have historically. And we think the website has started to make a difference, and we think that still is a huge opportunity to grow pawnbroking into the future. On to currency. So overall, our total currency exchange, you can see in the table there at the top, is 1% up. So it's slightly higher than it was the year before. And what we've seen there is the average transaction is actually slightly down. So people have exchanged slightly less. It's about 2% down. And anecdotally, there's probably two reasons for that. Either they're taking less money abroad with them because they've had less to take. They maybe traveled for a shorter period. I think some travel companies have said the average kind of people are going to be substituting a 10-day holiday with a 7-day holiday to keep the cost to travel down given how expensive it's been in the last 12 months. So we've seen slightly lower values. We serve a very similar number of customers. But what we've seen is some substitution effectively from higher-value, higher-margin product into lower-margin products. So more people have used our click-and-collect service online. So you buy in advance, typically that's a slightly lower rate. And more people have used the currency card, which again is at a slightly lower margin because of the cost to supply the card. So you can see gross profit is slightly down at 3%. But we still are serving a very similar number of customers, maybe slightly more. And those customers then very, very much understand the wider business. And they're using us for gold buying and they're using us for retail, and the profitability of our customers is still very, very strong. The currency card has stepped forward again. So we have 20,000 a year ago. You have 40,000 customers using that card. And as that layers in, that again offers long-term customer capture. And that customer uses that card multiple times while they're traveling. We've also had a slight reduction in the purchasing back of currency. So because the average transaction is lower, people then are left with less money and they sell less back. So you can see that the purchase of currency is down about 5%, and that's contributed to the mix of the overall gross profit being slightly down. Cash flow statement. As Peter said, when we open a store, the CapEx, the cash goes in at the start. The business is very, very cash generative. So when we have options and how we invest that cash. Usually, we open probably on average 7 or 8 stores a year, which is a big use of cash. Actually, in the year, we've not done that. We've only opened 2. So we've had more cash available to invest in inventory. And I think that inventory has worked. We've improved the retail performance, and therefore, we put more of that cash to work into inventory. And we've had loan book growth, which is the growth in the trade and receivables. The cash generation, the strength of that gives us the options to invest in the period. The income tax is probably a bit strange in that we've had 6 quarterly payments for tax. Usually you have 4. But we've transitioned from quarterly in arrears to quarterly in the year. So there's about GBP 2 million there of one-off cash out the door for tax, and that will normalize as we move into the new year. The dividend in the year, we've declared a 16p dividend overall. We're very conscious of the gold buying step forward that we've achieved with the gold price. And therefore, we've called out 2.5p of that as a special dividend. We'd still give an underlying dividend increase of about 20%. But overall, the dividend increase of 43%, it reflects a very similar payout to last year, which is around about 43% of EPS. So our philosophy on dividends is very consistent. It's broadly up to half of that profit out as a dividend and either half to grow business. We are very conscious about high gold price, and that's why we structured the dividend in this way, particularly in this year. As Peter alluded to, we've got a very, very strong balance sheet. We get asked a lot of our inventories, especially the gold jewelry stock we hold. It's recorded in the balance sheet at cost. We don't revalue that to the gold price, for instance. So it's around about GBP 9 million of watch inventory we hold. The rest of that is typically gold stock, and the pre-owned portion of that is held at below its intrinsic value. Trade and receivables is the pawnbroking lending plus the interest associated with that. And again that collateral that supports that is a very, very strong coverage, and therefore, again, that's a very, very strong asset class. The cash in the balance sheet of GBP 15 million does include the currency in the till. So It's around GBP 9 million of FX. And what happens there is the swing in FX through the year is we have about GBP 4 million to GBP 5 million of FX in the till in the winter and it jumps up to around GBP 10 million in the summer, that GBP 5 million of cash we use from our RCF. There's also around GBP 3 million or GBP 4 million of sterling cash that you need to cover that cycle as well as we sell around about GBP 3 million of currency per day in the summer. And therefore, as people pay us that money each day, it takes a day, 1.5 days to get that back through the cycle into the bank. So it's a very, very efficient balance sheet. We have no structural debt on the balance sheet. The RCF effectively is repaid in the winter. Today, we have 0 drawn on the RCF, which is why we have a very low finance cost as a business.
Peter Kenyon: Okay. Thanks, Martin. In summary, we're set up in FY '25. We have steadily beat the expectations at the start of that year and have delivered 43% growth in PBT. FY '26 has started strongly, and we have said that we've made over GBP 18 million. So it's another good start into the current year. The 2 graphs you've seen before early in the presentation are just really reiterating our track record on AIM. And the intention is to grow a more profitable business that has a very strong balance sheet and is able to reward shareholders. Strategy hasn't changed. We've had a following wind with the gold price, but we've taken advantage of that. Underlyingly, the business is in a really good place. Happy with the progress that we've made since last year, and made a little bit more progress in the gold buying, which is a bit more transactional but rewarded dividends with that. So that's the presentation. Thanks, Mark.
Operator: [Operator Instructions] I'd just like to remind you, a recording this presentation along with a copy of the slides and the published Q&A can be accessed via your Investor Meet company dashboard. Now, Peter, Martin, you received a number of questions from investors. So thank you, firstly, to everybody for your engagement this afternoon. If I may just hand back to you to just navigate us through that Q&A, and I'll pick up from you at the end.
Peter Kenyon: All right. Thanks, Mark. Excuse me leading forward. The eyesight is going as I get older. So question one. Can you explain the extent to which your earnings vary depending upon the price of gold and silver? Well, obviously, I'll not talk about the gold going up any further. But lots of people think that will happen and less concentrate on the gold going backwards. If I take pawnbroking, conservatively lend, if the gold price fell back 30%, 33%, our lending would still be in long run averages. So I don't think there's much impact into the pawnbroking segment. If the gold price is lower and we get less further scrapping, we're probably giving less surpluses back to consumers. So it's probably no detriment to ourselves. But obviously, consumers who are currently getting surpluses higher than they had before may lose out a little bit. Into retail, I think, again, where cost bases have changed for jewelry retailers, I think there'd be a reluctance if they can start buying their products at a lower price, whether they just take advantage of that. We've talked about if that special dividend -- and is that an indicator to, if you like, the variety on the variability of the gold price. It might be. But you know what, if the gold price is lower, will retail be in a better place because the world is in a better place? Will foreign currency be in a better place because foreign currency is in a better place? So it isn't just a simple answer. And also, we talked through the gold buying. We have options. So if we buy a weight of gold, while we might take advantage of the gold price and scrap it straight away and get us intrinsic value, the gold price is lower, why don't we take the year because we haven't gotten structural debt and retail it through our stores and earn more margin? So it isn't a linear question. As for silver, it's so low volume. It doesn't cause any movement on the Richter scale. It is my understanding that KeyCorp Holdings intended to open several new branches every year, but recently the Board changed its mind about this policy. Is there any particular reason why the company has had a change of mind? Well, I think it was just a pause, not a change. And I explained it about the government policy, and what I thought would happen to the retail landscape happened probably slower than I thought it would have done. Stephen has asked. Has the lack of opening branches and the relevant preopening costs helped profitability in the year? Not really. I mean, we've said that's our model. I'm trying to make sure that our new stores make a profit as soon as they possibly can, and Grantham and Burton are both making profit in year 1. Stephen again. Any thoughts about leaving AIM? In which way? No, we haven't really thought about leaving AIM. That's the market we're on. Other people might have. But now we're plowing on for our existing investors. Where do you expect to open the new branches, please? Well, I can tell you that we opened in Wakefield. I can tell you that I've got a shop-in-shop fit in Hull Center. I can tell you I've got a shop-in-shop fit in Newark. In terms of the others, obviously, confidential for commercial reasons. It's across the U.K. There will be some in the Northwest. There will be some in the Southeast. Operationally, I don't want to overload any of my area managers with too many new stores. So we spread the new stores across the estate, and we have opportunities still to do that and ripple the estate. By that, I can put trained staff in the store. It performs better from the outset. So that's the structure. That's what we're following. Due to the continued strength of precious metals, is an opportunity for Ramsdens to create a coin-focused bullion website to buy, sell similar to Atkinson's or Chards? The big store estate would no doubt lend itself to a click and collect, not just direct to the customer. That actually probably conflicts with some of the margins that we enjoy in our gold buying segment. So it's something that we've picked up and put down, but I'm not seeing it on the short-term horizon. David has been a shareholder for a bit now. Thank you, David. I'm very pleased with the cautious steady growth. Well done. Thank you very much. Gary. Earnings are very tied to the gold price. If the gold prices fall back to $2,000 level of trade about 2 years ago, what would the impact on earnings? Would they fall back to 2023 levels? All the reports I read, Gary, is $2,000 is not on anybody's horizon in the near term. We'd react and move the business, but I don't think that our -- some of our earnings are not necessarily tied to the gold price, as I've explained. David. What do you see as the maximum number of stores nationwide? I don't think there is a maximum. I was explaining earlier to some city investors, we have a town in Scotland, population is about 9,500. That store makes us GBP 180,000 profit. So I think there's plenty of opportunities for us to go at across the U.K. We've only got 170 stores. We could double the estate quite easily really over time because we're funding that without structural debt through our own cash generation. David. Don't leave AIM, please. Okay. Paul. Congratulations on the fabulous results. Regarding watches, the potential for watches specifically seems huge. Any plans to build up inventory and take on established preowned players through the website? Well, we do. Our watch retailing is about GBP 20 million and growing. It grew 13% in the last 12 months, and we very much do wish to drive that forward. It's been a good business for us. The hardest part of some of the watches is repairing them quickly enough if we buy it. So if we buy somebody's unwanted watch because they're trading up, whatever the reason may be, we often have to refurbish it, regulate it, service it and get it ready. And that's not a quick process. But I'm obviously working on that as well to try and improve our efficiency with some of our watches. Simon. Cavendish FY '27 forecast show a decline in profitability between '26 and '27. What key assumptions are driving that reduction? Is it expected gold price softness? I don't know whether it's expected gold price softness, but I wouldn't have thought anybody listening is expecting me to having a conversation with Cavendish saying what I expect the gold price to be in 9 months or 12 months or 18 years from now. So we were happy with our '27 projections coming out of midpoint of, if you like, '25. And it's just too far in the future. It's very volatile world. So the predictions in '27 are very -- on the current gold price, of where it is today, $4,600 an ounce, they're probably seen as conservative. Sven. Perhaps a left field question, but will the acquisition of H&T during '25 affect the strategy for Ramsdens in any way? So far, no. They're doing what they're doing. It's a large business. It's been a successful business. I know that they're growing their store incrementally. And yes, I'll leave them to manage their business and take it forward. I'm concentrating on what we can control and how we can grow our profitability, how we can grow our dividend, how we can strengthen our balance sheet. So it's Ramsdens I'm mainly interested. But obviously, I do watch what they're doing. I seem to have rattled through those quickly.
Operator: You've certainly done a good job there. Thank you very much, indeed. Of course, if any other questions, do make themselves available, Peter, Martin, we'll make those available to you post today's meeting. Look, I know investor feedback is particularly important to you both. I'll shortly redirect those on the call to give you their thoughts or expectations through feedback. But perhaps, if I may just come back to you, Peter, for a couple of closing comments.
Peter Kenyon: I think we've had a very good year. Yes, the gold price has given us a following wind, but our business is in a really good position to continue to grow and deliver shareholder rewards. So that's what we're aiming to do.
Operator: That's great. Perfectly clear. Thank you once again. Can I please ask investors not to close this session as we'll now automatically redirect you so that you can provide your feedback in order that the management can really better understand your views and expectations? This may take a couple of moments to complete, but I'm sure it will be very gratefully appreciated by the company. On behalf of the management team of Ramsdens Holdings PLC, I would like to thank you for attending today's presentation. I wish you all a good rest of your day. Thank you once again for your time.